Operator: Thank you for holding, and welcome to Alliant Energy Corporation’s Fourth Quarter and Full Year 2025 Earnings Conference Call. At this time, all lines are in a listen-only mode. Today’s conference is being recorded. I would like to turn the call over to your host, Susan Gille, Investor Relations Manager at Alliant Energy Corporation. Please go ahead. Good morning. I would like to thank all of you for joining us today for Alliant Energy Corporation’s Fourth Quarter and Full Year 2025 Financial Results Conference Call. We appreciate your participation. With me here today are Lisa M. Barton, President and CEO, and Robert J. Durian, Executive Vice President and CFO. Following prepared remarks by Lisa and Robert, we will have time to take questions from the investment community. We issued a news release last night announcing our fourth quarter and full year 2025 financial results and affirmed 2026 earnings and dividend guidance. This release, as well as an earnings presentation, will be referenced during today’s call and are available on the investor page of our website at www.alliantenergy.com. Before we begin, I need to remind you the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy Corporation’s news release issued last night and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. In addition, this presentation contains references to ongoing earnings per share, which is a non-GAAP financial measure. References to ongoing earnings exclude material charges or income that are not normally associated with ongoing operations. The reconciliation between ongoing and GAAP measures is provided in the earnings release, which is available on our website. At this point, I will turn the call over to Lisa. Thank you, Sue. Good morning, everyone, and thank you for joining us. 2025 was defined by major shifts in public policy, global trade, tax legislation, and the acceleration of electric demand. We delivered another year of strong financial and operational performance while making significant progress across our strategic priorities. From a financial perspective, we continued our consistent track record of performance, with ten-year compound annual EPS growth of 6.3%. Our ongoing 2025 EPS growth of 6% exceeded the midpoint of our guidance and aligns with our long-term earnings growth target of 5% to seven plus percent. We also increased our dividend, marking the twenty-second consecutive year of dividend increases, and delivered a total shareowner return of over 13% for the year. Regulatory execution was another area of strength. In Wisconsin, we achieved a highly constructive outcome in our 2026–2027 rate review, a unanimous settlement approved by the Public Service Commission of Wisconsin. We executed well against our customer-focused investment plan. During the year, we completed 275 megawatts of energy storage investments. We completed the Neenah and Sheboygan Falls turbine upgrades. And we proactively protected future customer investments by safe harboring planned renewable and energy storage projects amid evolving tax legislation, preserving flexibility and enabling cost-effective future energy solutions. Strategically, unlocking the potential of our customers and communities remains central to our approach. Data centers represent significant capital investments in local communities that strengthen local tax base and support schools, infrastructure, and public services.
Lisa M. Barton: Combined with our commitment to keep Iowa retail electric base rates flat for existing customers through the end of the decade, this approach demonstrates our ability to deliver win-win solutions, capturing growth that helps absorb fixed costs and reduces rate pressure for existing customers. We are utilizing individual customer rates in both Iowa and Wisconsin to ensure all customers benefit from economic development. A relentless focus on customers and building stronger communities is at the heart of everything we do. The Alliant Energy Advantage is our ability to move at the speed of our customers, aligning capital, infrastructure, and regulatory solutions to enable growth, while advancing outcomes that meet customers’, communities’, and shareowners’ expectations. Swiftly pivoting when our customers pivot is part of that advantage and a key differentiator for Alliant Energy. We aim to be a partner of choice with the goal of continuing to attract these customers to our service area. In furtherance of that goal, we closed the year with four executed ESAs totaling three gigawatts of peak load, translating to a 50% future growth in demand. We have a solid execution plan and a backlog of opportunities to drive future waves of growth for our shareowners, customers, and communities. Navigating this environment requires agility, disciplined decision making, and a steadfast focus on long-term value. As we previously shared, QTS, one of the data centers we serve, made the decision to relocate its Greater Madison, Wisconsin, data center project. After assessing multiple sites within our service area, QTS has selected a new location within our Iowa service territory. I am pleased to share that we have signed a new electric service agreement for this relocated QTS project, and our four-year consolidated capital expenditure program and investment growth expectations remain on track. Robert will provide additional details on these updates. The speed and effectiveness of our response to the QTS data center relocation highlights the strength of our partnerships, the flexibility of our planning, and our disciplined focus on near-term execution. Looking towards 2026, we are focused on pursuing industry-leading demand growth and successful project execution against those opportunities. We are actively engaged with customers and continue to pursue between two to four gigawatts of additional large load growth opportunities beyond what is already reflected in our current capital and financial outlook. Importantly, these growth opportunities are in addition to the four previously announced contracted projects. We expect to provide updates as we make further progress with new electric service agreements. Driving affordable energy solutions is foundational to our strategy, and we have built a strong foundation that positions us well for sustainable growth and delivering meaningful value to customers. This is supported by maximizing existing resources, extending asset life, investing in natural gas resources, and strategically integrating renewables and energy storage facilities. These remain the most cost-effective ways to maintain reliability. Proactive safe harboring of renewable and storage investments, prioritizing plug-in-ready sites which minimizes transmission investments and accelerates our ability to serve new customers. In addition, we continue to unlock ancillary value through the optimization and monetization of our fiber network, creating unique financial benefits for existing customers. As I reflect on my second year as CEO, I am incredibly proud of what our team accomplished and I am excited about the opportunities ahead. The commitment of our employees enhances our ability to serve customers and communities, contributing to sustainable long-term value generation for shareowners. As we prepare to celebrate National Engineers Week, I want to recognize the exceptional contributions of our engineers, whose innovation and expertise continue to propel our industry forward. I sincerely thank our generation teams, line crews, gas techs, and extended workforce for their dedication, especially in maintaining safe and reliable systems during extreme winter weather events. Your efforts are the foundation of our success. There is tremendous opportunity ahead and Alliant Energy Corporation is well positioned to help build a stronger, more resilient energy future—one that benefits customers, communities, employees, and shareowners alike. I will now turn the call over to Robert to provide our financial update and an update on regulatory matters.
Robert J. Durian: Thank you, Lisa. Good morning, everyone. Yesterday, we announced 2025 GAAP and ongoing earnings. For the full year 2025, Alliant Energy Corporation delivered ongoing earnings per share growth of $0.18 compared to 2024. This year-over-year improvement was driven primarily by increased revenue requirements from rate base increases, reflecting continued investment in generation and energy storage, as well as favorable temperature impacts on electric and gas sales. These positive drivers were partially offset by higher operating and maintenance expenses, primarily related to planned generation maintenance activities and the addition of new generation resources, as well as higher generation development costs to support long-term growth. Increased depreciation and financing associated with expanding capital investments also offset a portion of the earnings improvement. Temperatures in 2025 contributed approximately $0.03 per share to electric and gas margins. For comparison, 2024 temperatures reduced margins by approximately $0.15 per share. Excluding the impact of temperatures, electric sales increased by nearly 1% in 2025 compared to 2024, driven by higher commercial and industrial sales across both IPL and WPL. Our ongoing earnings for 2025 exclude two non-recurring items, including a $0.05 charge related to the suspension of production at Travero’s wind turbine blade recycling operations, based on a review of strategic options for the business, and a $0.03 charge associated with remeasurement of deferred tax assets. This tax item reflects updated state income tax apportionment assumptions driven by higher projected electric utility revenues from commercial and industrial customers, including new data center agreements. With these results, we continue to deliver the consistent financial performance investors expect from Alliant Energy Corporation. We have now achieved annual ongoing earnings growth of over 6% for more than a decade, while maintaining our focus on customer affordability. Turning to our capital plan. As Lisa mentioned earlier, our consolidated four-year capital plan remains on track, as shown on slide six. Following the relocation of the QTS load from Wisconsin to Iowa, we reallocated certain gas, wind, and energy storage investments between our state utilities. This update represents a repositioning of resources within our consolidated portfolio. With flexible and proactive resource planning, we have strong confidence in our ability to execute the projects within our updated capital expenditure plan. We have secured gas turbine reservation agreements and project locations for all planned self-developed gas resources. Our plan includes simple-cycle gas resources to address increasing capacity needs, while retaining flexibility to expand these gas resources to combined-cycle facilities in the future. The additional Iowa wind investments will be part of our advanced rate-making proposal, for which a settlement has been filed and a final IUC decision is pending. And we have taken action that protects tax credits for our planned renewable and energy storage projects through proactive safe harboring and development activity. This ability to pivot while maintaining execution certainty reflects the strength of the Alliant Energy Corporation Advantage. As a result of the new electric service agreement for QTS’s relocation, and with our capital plan remaining materially consistent, we are affirming our 2026 earnings guidance. As shown on slide seven, our 2026 earnings guidance reflects several key assumptions. These include higher earnings from growing capital investments, including allowance for funds used during construction; expected retail sales growth of approximately 1%, inclusive of sales to new data centers during construction; higher O&M, depreciation, and financing costs, consistent with increasing capital investments; and the ability to utilize investment tax credits from energy storage placed in service in 2025 and 2026 to support earning our authorized Iowa Electric ROE while maintaining stable base rates for our electric customers in Iowa. With respect to our longer-term outlook, and incorporating QTS’s new load expectations, we expect our compound annual earnings growth rate across 2027 to 2029 to be consistent with what we shared in November 2025: 7% plus. This growth rate is based on current projections for the timing and execution of capital expenditure plans and data center load. We will continue to assess our long-term earnings growth potential as we execute on our data center expansion and capital expenditure plans. Turning to financing. As shown on slide eight, our 2026 debt financing plans include up to $1,200,000,000 of long-term issuances, consisting of up to $400,000,000 at the parent, Alliant Energy Finance; up to $300,000,000 at WPL; and up to $500,000,000 at IPL. With our strong liquidity position, we are well positioned to address upcoming parent-level maturities in March 2026. And we have already retired our $300,000,000 term loan, with a new term loan expected in the first quarter. As a reminder, our four-year capital plan is funded through a balanced mix of cash from operations, including proceeds from ongoing tax credit monetization, and new financings, including debt, hybrid instruments, and common equity. Of the approximately $2,400,000,000 of expected common equity needs over the four-year period, we have already raised approximately $1,000,000,000 through forward equity agreements. This leaves approximately $1,300,000,000 of remaining equity to be raised through 2029, excluding equity expected to be raised under our share purchase plan. Overall, our financing plan provides flexibility to support efficient execution of our strategy. Turning to our regulatory matters, we achieved several constructive regulatory decisions throughout the year, as listed on slide 10. Our 2026 regulatory agenda remains closely aligned with our capital investment plans, as we have no active rate reviews planned in 2026, reducing regulatory uncertainty. In Iowa, the Iowa Utilities Commission recently approved certificates of public convenience and necessity for two generation facilities: a 720-megawatt natural gas facility using simple-cycle combustion turbines in Marshall County, Iowa, referred to as the Bobcat Energy Center, and a 94-megawatt natural gas RICE unit in Burlington, Iowa. We are also awaiting an IUC decision on the settlement for advanced rate-making principles for up to one gigawatt of new wind generation, which we expect to allow customers to avoid significant fuel costs and generate tax credits, while supporting investment in cost-effective, responsible energy resources. We anticipate a decision in this proceeding during 2026. In Wisconsin, we currently have five active dockets, including three requests for preapproval of customer-focused investments. These include our first-ever liquefied natural gas storage facility to add physical gas capacity and enhance winter reliability, and a request to add approximately 430 megawatts of new wind generation to deliver zero-fuel-cost energy and tax credits for our customers. We expect decisions on these matters over the next twelve months. We are also awaiting a decision from the Public Service Commission of Wisconsin on the individual customer rate filing associated with the metadata center in Beaver Dam, Wisconsin. Earlier this month, intervenors submitted testimony that was generally supportive, while offering proposals for additional company and existing customer protections. We are expecting a decision on this docket in the second quarter. Looking ahead, we expect to make additional filings throughout the year to support planned customer investments. In addition, we anticipate filing a new individual rate application with the Iowa Utilities Commission related to the relocated QTS data center in 2026. I will now turn the call back over to Lisa to provide closing remarks.
Lisa M. Barton: Thank you, Robert. Delivering consistency in financial performance year after year, growing at the pace of the people and places we serve, is the Alliant Energy Corporation Advantage that sets us apart. Our proactive approach and commitment to economic development is a strength as we continue to serve the needs of our communities. By pursuing win-win solutions, we are driving affordability, fueling growth, and creating lasting shareowner value. In closing, thank you for your continued support and engagement with Alliant Energy Corporation. We look forward to connecting with many of you at upcoming investor conferences. I will now turn the call back to the operator to open the line for questions.
Operator: Thank you, Ms. Barton. At this time, the company will open the call to questions from members of the investment community. Should you have any questions at this time, please press 1 on your telephone. And if you would like to withdraw from the polling process, please press 2. And if you are using your speakerphone, you will need to lift the handset first before pressing any keys. Please go ahead and press 1 now if you do have any questions. Thank you. First, we will hear from Shahriar Pourreza at Wells Fargo. Please go ahead.
Shahriar Pourreza: Hey, guys. Good morning.
Lisa M. Barton: Good morning, Shah.
Shahriar Pourreza: Morning, Lisa. So just firstly, on the three gigawatts of data centers you have in plan, can you just remind us what is the minimum take agreements? And is that minimum what is assumed in your current plan? So if we could look at it this way, if these hyperscalers were to ramp faster and take on more power over time, that would be accretive to your current planning assumptions?
Robert J. Durian: Yeah. That would absolutely be accretive to our planning assumptions.
Shahriar Pourreza: Got it. Okay. Perfect. And then obviously, you know, we are seeing a lot of noise in Wisconsin around data center developments and moratoriums, etcetera. Just can you talk about how your conversations are going with the hyperscalers? And are you kind of now implementing somewhat stricter safeguards so a situation like QTS does not happen again? Or has the conversation really shifted to more deals being done in Iowa versus Wisconsin? I mean, between active and incremental deals, you guys have, like, four to eight gigawatts out there. Thanks.
Lisa M. Barton: Yeah. No. Great question. I mean, we have always talked about the fact that the differences between Iowa and Wisconsin with respect to growth—that Iowa does have some strategic advantages. As you may recall, we serve 75% of the communities in Iowa, 40% of the communities in Wisconsin. There is a little bit more of an advantage in terms of access to transmission there, and a bit of a broader access to gas. So Iowa does have some strategic advantages. You know, as it relates to Wisconsin data center growth, we are committed to making sure that Wisconsin is open for all business, including data centers. And I will remind folks about some of the uniqueness associated with the QTS DeForest opportunity. That required not only annexation but rezoning as well. So it was a higher bar there than we would traditionally have with other sites.
Shahriar Pourreza: Got it. So just maybe, follow-up to that. If more of the deals strategically are going to be shifted towards Iowa, is there anything, you know, Robert wants to call out fundamentally that could be advantageous for us—
Robert J. Durian: Yeah. When I think about it, both jurisdictions have very strong regulatory environments, so I do not see a lot of difference between the two. We are fortunate that we have got a construct in Iowa right now that is very receptive to growth. When you think about what we agreed to in the last rate case, we really have structured ourselves to be able to grow at the pace of our customers while achieving our authorized returns and maintaining base rates that are stable through the end of the decade at least, and we are trying to extend that over a longer period of time.
Shahriar Pourreza: Got it. Super helpful, guys. Thank you so much. Appreciate it.
Operator: Thank you. Next question will be from Nicholas Joseph Campanella at Barclays. Please go ahead.
Nicholas Joseph Campanella: Hey. Good morning. Thanks for taking my question. Morning. I wanted to ask on the QTS, too. And it is good to see that this was shifted to a new site. Can you maybe just kind of talk about what is required there from a, you know, permitting, zoning, approval process—anything that you really kind of move forward with construction—think you said in the prepared you are going to be making a pair of filing for that in the state soon, but just what is the path to construction? Thanks.
Lisa M. Barton: Yeah. Just as a point of clarity, it would be an ICR. We have the individual customer rate constructs that we use in both Wisconsin and Iowa. So we have been super pleased with our ability to pivot and, quite frankly, pivot on a dime with respect to this. I think this shows the strength of our team as well as the robustness of the opportunities that we have across our service territory. So, we offered them, you know, basically in both states. If you think about it, it has got a similar demand, similar timing, similar ramp rate, and they have land control, and it is zoned industrial.
Nicholas Joseph Campanella: Okay. Thank you. And then just on the two to four gigs, is there anything else that you can kind of give us around your goals for timing when you could bring in another deal to the plan? I know you said that you will announce them as they come, but something that you think you could see by the first half of this year, or what would you say in terms of timing?
Lisa M. Barton: Yeah. No, great question. And it is always very fluid. As we have—we have got two to four gigawatts in terms of active discussions. I will give it to you in maybe a little bit of a breakdown which might be helpful. We, in essence, have three buckets. We have got expansion opportunities at existing sites. We have existing customers in new locations, and we have new customers in new locations. And I will remind folks that we have set ourselves up with a pretty high bar with respect to making sure that we have got high-quality ESAs. And then with those ESAs, there is a very high degree of success off of it. First and foremost, we make sure that we have got a very clean understanding of the timing of the project, the peak load, the load ramp. In doing so, we are also identifying the generation investments that would be needed. We make sure we have got comprehensive transmission studies so that they can understand what the cost of the interconnection is, as well as land control, and we do think that that land control element is particularly important in these situations. As you all know, we have been talking about growing at the pace of our customers and communities and really, in our strategy, trying to make sure that we are first movers. We feel that that combination gives very high-quality ESAs for our investors to count on for growth.
Nicholas Joseph Campanella: Okay. Thank you.
Operator: Next question will be from Paul Zimbardo at Jefferies. Please go ahead.
Paul Zimbardo: Hi. Good morning, team.
Lisa M. Barton: Good morning.
Paul Zimbardo: Thank you. And just to continue the comment theme a little bit, you mentioned the land control, the two to four gigawatts. Does that include kind of industrial and the appropriate zoning and annexation? Just any color you could provide there would be helpful.
Lisa M. Barton: Yeah. So we can certainly provide color to all of the folks who are out there and all of the land. But what we can say is that certainly for land that we own—and we own a considerable amount of land—has been part of our economic development strategy for the past couple of years. And in doing so, all of that land is zoned industrial. If that is helpful.
Robert J. Durian: That is helpful.
Paul Zimbardo: Thank you. And then just turning to 2026, I see you are assuming about 1% retail sales growth, which sounds like it is consistent with what you experienced in 2025. I do not know if you think that is a fairly conservative assumption just as the data centers start to ramp, or there are other dynamics at play there.
Robert J. Durian: No. Yeah. I think it is fairly consistent. We are expecting to see some level of data center load start in 2026. But, really, think about most of the load coming in from the data centers in 2027 and beyond, and that is when you will see the much higher growth rates that we are expecting in our plan.
Lisa M. Barton: Okay.
Paul Zimbardo: Great. Thank you, team. Next question.
Operator: Will be from Paul Fremont at Ladenburg. Please go ahead.
Paul Fremont: Thanks, and congratulations on the shift in QTS. Does the shift in renewables in your CapEx from the gas generation supply—is that being driven by the expected supply for QTS? Or is there something else that is driving that shift?
Robert J. Durian: Yeah. Paul, when you think about our investment plan, it is pretty consistent overall when you think about the four years of 2026 through 2029—still at roughly that $13,400,000,000 with what we shared with investors back in November. Most of the recent shift, as you indicated, was just a shift between what we call gas generation to renewables. There is also some shift between our Wisconsin utility to our Iowa utilities that coincide with the relocated load. When I think about the renewables, you may be familiar—we do have an RPU filing in front of the commission right now in Iowa, and as the team continues to identify further renewable development opportunities that are cost-effective for our customers, we are going to continue to add those to the plan. And so we saw an opportunity to do that with this recent update. And then on the gas side, we had previously had a gas combined-cycle plant within the planned time horizon, but we have shifted that out beyond the planned horizon, really in favor of trying to get to simple-cycle facilities quicker because we know the capacity is important for our customers to be able to get them online quicker. So I would still say that combined-cycle is an opportunity for us and really upside opportunity to us when you think of beyond the planning horizon of 2026 through 2029.
Lisa M. Barton: One thing that I would add is just a reminder of the fact that we do not have an IRP process, a litigated IRP process, so that allows us to be flexible in terms of our resource planning and to be able to pivot as we identify other projects that we can get into service fairly quickly to grow at that pace of our customers. It is speed to market, which is what we are acutely focused on, and one of the advantages I think that we have with respect to attracting these large loads.
Paul Fremont: Great. And when I guess, when I look at some of your peers, in terms of where your rate base growth is, you are at 12%. Many of those peers that are at very high levels of rate base growth have somewhat more robust EPS growth rates. Is there something we should think of that is sort of holding you at lower levels?
Robert J. Durian: Yeah. Paul, I would say we are probably pretty consistent with most others when it comes to the level of dilution we are going to see from the equity that we need to be able to finance this rate base growth. Maybe something that is a little bit different for us is we do have some current level debt that we are going to need to refinance, and the current debt is at pretty low interest rates. And so we have built in some, I will say, conservative assumptions as to what the new interest rates will be in the plan, and that is probably maybe a differentiating factor and hopefully, we will be able to beat that when we execute those transactions. But prefer to be a little more conservative at the outset here.
Paul Fremont: Great. Thank you very much.
Operator: Thank you. Next question will be from Andrew Marc Weisel at Scotiabank. Please go ahead.
Andrew Marc Weisel: Hey. Good morning, everyone. Wanna echo the kudos on the change there. Like you said, nice to see you pivot on a dime, as you called it. First question is on turbine reservations for gas and safe harbor credits for renewables and storage. I know you have got that all covered for what is in the plan. Please remind me or help me understand, what do you mean by what is in the plan? Specifically, does that cover everything related to the three gigawatts for the four projects that have ESAs? Would that cover some of the two to four gigawatts of upside? Just how are you thinking about serving all of those needs or potential needs from a generation perspective? I know you alluded to that a little bit in the last question, but maybe you could get a little more specific, please.
Lisa M. Barton: No. That is fine. With respect to the three gigawatts, you know, that is all in the plan. And as we look towards the two to four gigawatts that we are in active negotiations on, we are all working on the generation side, and I will just point folks to a recent RFP that we had issued here in 2025. So we are actively continuing to pair the load growth with generation.
Andrew Marc Weisel: Okay. So the comments refer to the three gig but not the two to four. Is that right?
Lisa M. Barton: Correct.
Andrew Marc Weisel: Okay. Got it. Thank you. And then in terms of, excuse me, moving the CapEx around, I know you talked about moving generation from Wisconsin to Iowa related to the QTS relocating. Looks like some of the timing changed as well, some spending moved up from 2027 to 2026, and then a little bit got pushed back from 2028 to 2029. Is that just fine-tuning, or was that related to QTS? Or maybe you could just detail some of those changes.
Robert J. Durian: Yeah. Most of those are pretty modest. I do not think any one year is probably moving around more than about $100,000,000. And so think of that as just refinements to the process as we continue to work through completing all of the contracts and stuff for the capital expenditure planning. So I would not read anything more than just more refinement than anything.
Andrew Marc Weisel: Okay. Very good. And then maybe this is just kind of a nitpicky one, but just to clarify, the 50% increase in projected demand—that stat is not a change, but it looks like the base did change. Now you are saying off of 2025 base of five and a half gigs, previously, it showed off of a 2024 base of six gigs. So it looks like, and now you are saying by 2031 versus by 2030 previously. Just trying to understand. Are you now saying it is going to be a little later and a little smaller? Is that meant to be a change in the messaging of future demand? Or how should we think about that?
Robert J. Durian: I would think that most of those numbers are refinements and rounding issues more than anything. There is some, as we think about this relocation of QTS from Wisconsin to Iowa, there is a little bit of a delay in the ramp, as you can imagine, because starting out a little bit later with the development activities, but it is less than a year. And so again, we are just probably getting a little more fine-tuned on the numbers and the dates. I would not read anything more into that than that.
Andrew Marc Weisel: Okay. Very true. Transparency. We appreciate the specificity. Thank you so much.
Operator: Thank you. A reminder, ladies and gentlemen, please press 1. Next will be Renny at Bank of America. Please go ahead.
Renny: Morning, guys. Just quick question on, you know, the gubernatorial races. So, you know, with heading into those races in Iowa and Wisconsin and with the incumbents not running, I guess, are you thinking about, like, regulatory continuity and potential policy shift? Policy shifts, like, basically around generation planning and large loads.
Lisa M. Barton: Yeah. Great question. And, you know, this is fundamental to our philosophy of making sure that—you have heard us talk about a Rubik’s cube. We are solving for reliability, resiliency, growth, and affordability. That is core to everything that we do. We actually posted, recently this week on our site to ensure that there was clarity in terms of our philosophy, our commitment to our customers, which is they will not be paying for this data center growth. They will be benefiting from this data center growth. So really trying to make sure that that message is clear. Obviously, we have, in both states, governors who have elected not to run for reelection. In Iowa, the primaries are coming up fairly soon in the June 2 time frame. You have got five Republicans running, three Democrats. In Wisconsin, it is very early days. August, I think eleventh it is that the primaries are set for—there are two Republicans and nine Democrats, really, in that race. You know, we expect the races to very much be focused on healthcare, housing costs, potentially energy costs, and so forth. That is why how we are navigating this growth is so critical. And we have certainly had the support of the public utilities commissions as it relates to our approach. And, again, as a reminder, with this individual customer rate contract that we submit to the commissions, it really gives the commissions an opportunity to truly understand the details of it, to make sure that all customers are benefiting, to make sure that they have got that opportunity for oversight on an individual basis. We think that that is a strength as well.
Renny: That makes sense. And then just secondly, you know, keeping on theme with the data centers. Do you, like in Wisconsin, do you kind of view it as—is it kind of more broadly the challenge as being tied to local or township concerns, or based in Wisconsin? I know Iowa has a strategic, you know, advantages. But do you think, like, for example, with the MITT ICR there is more need to provide more disclosures in Wisconsin, or is this kind of township level—
Lisa M. Barton: It is really township level is how we are viewing it. And, again, just as a reminder, that DeForest community is just outside of Madison, very close to Madison, and it did require annexation and rezoning. It certainly was a lift for the community. Governor Evers, in his State of the State address, was extremely supportive of data centers and highlighted the importance of data centers for the growth of the state, making sure that we continue to be a bit of a tech hub and so forth. That is very much in line with how we are seeing it. So this is just a local issue in our minds.
Renny: Great. Thanks so much.
Operator: Ms. Gille, there are no further questions at this time.
Susan Gille: With no more questions, this concludes our call. A replay will be available on our investor website. We thank you for your continued support of Alliant Energy Corporation and feel free to contact me with any follow-up questions.
Operator: Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Have a good weekend.